Operator: Greetings and welcome to The Chefs’ Warehouse Fourth Quarter 2013 Earnings Conference Call. (Operator Instructions). It is now my pleasure to introduce your host, Alex Aldous, General Counsel and Corporate Secretary for The Chefs’ Warehouse. Thank you. Mr. Aldous, you may begin.
Alexandros Aldous: Thank you, operator. Good afternoon everyone. With me on today’s call are Chris Pappas, Founder, Chairman and CEO, and John Austin, CFO. By now you should have access to our fourth quarter 2013 earnings press release. It can also be found at www.chefswarehouse.com under the Investor Relations section. Throughout this conference call we will be presenting non-GAAP financial measures including, among others, historical and estimated EBITDA and adjusted EBITDA as well as both historical and estimated modified pro forma net income and modified pro forma earnings per share. These measures are not calculated in accordance with GAAP and may be calculated differently than other companies’ similarly titled non-GAAP financial measures. Quantitative reconciliations of our non-GAAP financial measures to their most directly comparable GAAP financial measures appear in today’s press release. Before we begin our formal remarks I need to remind everyone that part of our discussion today will include forward-looking statements, including statements regarding our estimated financial performance. Such forward-looking statements are not guarantees of future performance and therefore you should not put undue reliance on them. These statements are subject to numerous risks and uncertainties that could cause actual results to differ materially from what we expect. Some of these risks are mentioned in today’s release; others are discussed in our annual report on Form 10-K and quarterly reports on Form 10-Q which are available at www.sec.com. Today we’re going to provide a business update and go over our fourth quarter results in detail and review our 2014 guidance. Then we will open the call for questions. With that I would like to turn the call over to Chris Pappas. Chris?
Christopher Pappas: Thanks, Alex. Welcome to all who are listening today. While the fourth quarter proved to be challenging on a number of fronts we are very happy with our accomplishments in 2013. Despite the very difficult weather late in the year 2013 was a year of significant growth, both in terms of meaningful acquisitions but also in terms of investments in building our platform for the long term. A few highlights for the quarter include the following: An increase in net sales of nearly 36% over the fourth quarter from 2012; a gross profit increase of approximately 36% over the fourth quarter of 2012 and an adjusted EBITDA increase of approximately 15% over the fourth quarter of 2012. Also during the quarter we completed the acquisition of Allen Brothers, a processor and distributor of premium custom cut steaks and other proteins, based in Chicago Illinois. During the fourth quarter our number of cases sold grew approximately 4% quarter-over-quarter adjusted for acquisitions. In addition our number of unique customers and placements also grew in the mid to high single-digits year-over-year, approximately 7% respectively after adjusting for the estimated impact of acquisitions. As you know from our update call in January weather did negatively impact our results in the fourth quarter, which John will go over in a few minutes. I would like to point out though that we had very strong results outside of the Northeast, Midwest and mid-Atlantic regions during the fourth quarter. I know we all are looking forward to the return of more moderate weather this spring in these key markets. Our growth strategies are focused on growing our current markets to increase penetration of our existing customers, adding new customers and identifying new markets that we believe present opportunities for future expansion. We believe that making sure our sales force is well trained, that we have superior products and run as effectively, efficiently as possible will be the key to our continued success. For that reason we expect to continue to invest in people and process and products to ensure we preserve our brand as the elite distributor in food service. In addition to the regional management and procurement infrastructure we added during 2013, given both the magnitude of recently completed deals as-well-as the potential we see on the horizon, we are also implementing an integration team that is solely dedicated to on boarding new acquisitions as quickly and as efficiently as possible. We expect this to streamline the acquisition process and enable us to achieve expected benefits and synergies more quickly. In addition we want to be able to make sure that the people, processes and products are consistent with the rest of our business. We are also investing significantly into our finance and IT departments. All these investments will ultimately allow us to scale quickly and manage our growing business more efficiently. Another near term investment we are making is around upgrading and integrating the Allen Brothers and Michael’s technology platforms. This will also be the first step to enable us to leverage the Allen Brothers e-commerce platform. We are excited to eventually begin to offer our high quality Chefs’ Warehouse products direct to the consumer. We should be able to give you more details around that project in the coming months but we believe there is an attractive B2C opportunity. Finally we are also currently considering opening a new distribution center in the Greater Chicago area. The Chicago and surrounding markets are one of the top markets in the U.S. and we believe this market presents significant long-term opportunities for us. This would allow to offer a broader product offering to the clients we currently serve in the region, better service our existing clients and overtime drive more significant penetration into this attractive market. Depending on the timing of this initiative this investment could be in the $1 million to $3 million range which we have not included in our outlook due to the uncertainty of our timing. We are actively looking at options in that market; we will update you when appropriate. While we are still busy being selective in both the markets and the products specialties that we pursue as-well-as how we structure each opportunity we remain cautiously optimistic that there are enough additional attractive opportunities for us to capitalize on in 2014. In closing 2013 was a year of continued growth for the company. We entered Cincinnati, Chicago and Canada as-well-as as our expanded our presence in the center of the plate and pastry offerings. As we move into 2014 we like many other public restaurant companies that operate in the Northeast, Mid-Atlantic and Midwest are feeling the brunt of an unusually cold and harsh start to the year. Despite that we continue to execute against our long-term business strategy by focusing on and building out our core markets and entering new attractive markets that we believe will hold long term upside for growth. And with that I’ll turn it over to John Austin to discuss more detailed financial information. John?
John Austin: Thank you, Chris, and good afternoon everyone. Our net sales for the quarter ended December 27 of 2013 increased approximately 35.6% to $193.4 million from $142.6 million in the fourth quarter ended December 28, 2012. The increase in net sales was the result of acquisitions of Queensgate Foodservice, Qzina Specialty Foods and Allen Brothers during 2013 as-well-as organic growth. These acquisitions accounted for approximately $39.6 million of our sales growth for the quarter. We also estimate that weather impacted us by approximately $4 million for the quarter, primarily in the Northeast, Mid-Atlantic and Midwestern markets. The estimated impact of Hurricane Sandy negatively impacted sales by approximately $3 million in the fourth quarter of 2012. Inflation increased somewhat from the third quarter and was approximately 3.8%. Gross profit increased approximately 36.5% to $49.3 million for the fourth quarter of ‘13 versus $36.1 million for the fourth quarter of ‘12. Gross profit margin increased approximately 16 basis points to 25.5% from 25.3%. Excluding the impact of the acquired businesses gross margin increased nicely year-over-year in our core specialty distribution businesses. This increase was offset in large part by the previously disclosed decrease in gross profit margins and the correction of the inventory overstatement at our Michael’s Finer Meats subsidiary. Total operating expenses increased approximately 38.4% to $39.1 million for the fourth quarter of ‘13 from $28.2 million for the fourth quarter of 2012. As a percentage of net sales, operating expenses were 20.2% for the fourth quarter of 2013 compared to 19.8% in the prior-year quarter. The increase in operating expense ratio is attributable to increased investments in management infrastructure, increased amortization expense related to the company’s acquisitions, duplicate rent related to the company’s Bronx, New York facility, and the previously disclosed investigation cost at our Michael’s subsidiary and the third-party transaction costs related to various acquisitions, which were all offset in part by the prior year impact of Hurricane Sandy. Warehouse distribution and selling cost increased approximately $8.3 million due mainly to the company’s acquisitions and investments in regional management infrastructure. This also includes approximately $400,000 of duplicate occupancy costs related to the Bronx facility. As a percentage of net sales, warehouse distribution and selling expense increased 73 basis points, again primarily related to the additional regional and sales management added over the past year and duplicate rent. G&A expenses increased approximately $2.6 million to $11.5 million for the fourth quarter of 2013 compared to $8.9 million in the prior year fourth quarter. As a percentage of net sales G&A costs decreased by 32 basis points to 5.9%, due in large part to the reduction in the earn-out liability related to one of the company’s prior acquisitions. Adjusted for amortization expense and the other unusual items described in our press release G&A expense increased from $7.6 million to $10.6 million in 2013 – in the fourth quarter of 2013 which is an increase of 14 basis points as a percent of sales. Operating income for the fourth quarter of 2013 was $10.2 million compared to $7.9 million for the fourth quarter of the prior year. Interest expense for the quarter increased to $2.2 million from $1.2 million in the fourth quarter of last year, due to the higher levels of debt related to the company’s acquisitions, as well as the higher interest rate associated with the company’s senior notes issued in early 2013. Income tax expense was $3.2 million for the quarter compared to $3.0 million in the 2012 fourth quarter. Our effective tax rate was approximately 39.6% for the quarter. Net income was $4.8 million or $0.19 per diluted share for the fourth quarter of 2013 compared to $3.6 million or $0.17 per diluted share for the fourth quarter of 2012. On a non-GAAP basis, adjusted EBITDA increased approximately 15.2% to $13.4 million for the fourth quarter of 2013 compared to $11.6 million in the fourth quarter of 2012. Modified pro forma net income was $5.4 million and modified pro forma EPS was $0.22 for the fourth quarter of 2013 compared to modified pro forma net income of $4.9 million and modified pro forma EPS of $0.23 in the fourth quarter of 2012. The decrease in modified pro forma EPS was due largely to the increase in a number of shares outstanding related to the company’s offering completed in September, 2013. Please refer to our press release for the quantitative reconciliation of these non-GAAP measures to the most comparable GAAP measures. Now on to the outlook for 2014, we expect revenue between $810 million and $840 million, adjusted EBITDA between $50 million and $55.5 million and net income between $16 million and $18.5 million. We now expect net income per diluted share to be between $0.64 and $0.74 and modified pro forma diluted EPS between $0.70 and $0.80. This guidance is based on an effective tax rate of approximately 41% for 2013 and an estimated diluted share count of 25 million shares. A few other comments about our outlook, first as Chris stated weather has continued to be unusually harsh in the Northeast, Mid-Atlantic and Midwestern markets. So while we don’t give quarterly guidance, for those of you modeling 2014 it’s important for you to account for this disruption in the first quarter. In addition to the fact that the first quarter is historically our lightest quarter, the cadence of Allen Brothers’ earnings is very weighted towards the fourth quarter. This is due to the promotional spend in the company’s B2C channel throughout the year but also nearly 50% of the revenue in that B2C channel is generated in the holiday season. Second, as Chris said earlier we are currently considering opening a distribution center in Chicago. Depending on the timing of the signing of that lease our staffing and other ramp cost, the start-up expenses related to this initiative could be between a $1 million and $3 million for us to launch this. Our current 2014 guidance does not include any expenses related to or any costs related to this new distribution facility but we will update you once we have more definitive plan around that initiative. With that operator we will turn it over for questions.
Operator: Thank you. We will now be conducting the question-and-answer session. (Operator Instructions). Thank you. Our first question comes from the line of Mark Wiltamuth with Jefferies. Please proceed with your question.
Mark Wiltamuth – Jefferies & Co.: Hi. Good afternoon. If you could give us a little perspective on how big the impact is on weather for the fourth quarter versus what you are seeing here in the first quarter, is it comparable or maybe just give us a little perspective so we can gauge how much disruption here is in the guidance?
John Austin: Yeah I think Mark the one thing I’d point out is the first quarter as you know is our seasonally lightest quarter. So it’s certainly the order of sale of dollars are lighter January and February are pretty slow months in the food service business. And so I think in order of magnitude it should be less although it’s so far it’s been two months instead of the month of December, just month of December was obviously expected to be a pretty strong month.
Mark Wiltamuth – Jefferies & Co.: Okay. And if you could also maybe step through the acquisitions and talk to us about where earnings accretion is likely to start showing up now you have digested some of these?
John Austin: I am not sure I have truly followed your question. So earnings accretion on the acquisitions…?
Mark Wiltamuth – Jefferies & Co.: Well you could probably point through like how – when does Allen Brothers really start to turn accretive and how big and some of the other ones you have done recently?
John Austin: Yeah I think Allen Brothers in particular obviously it’s a launch into the Chicago market – our first foray into the Chicago market. We are hoping to leverage that and there may be some investment spend as we talked about in our prepared remarks as we launch that facility. We think long-term that can be a fantastic marketplace because relative to size I think maybe it’s not as big as New York but it’s pretty close.
Christopher Pappas: Well particularly Allen Brothers is a national – has a national presence and between Allen Brothers and Michael’s now we have actually a platform of two of the best cut shops in the country that do business nationally and we look to expand that on a national basis. So when you say accretive they are all accretive it’s – running just for the next quarter they could be even more accretive but we’re making investment, we are hiring sales people, we are improving their platform. So we are really building them to keep expanding over the next ten years. So they are accretive but we are also making big investments.
John Austin: Actually that’s probably the right way to think about it Mark is most of these deals are – we are happy with their performance, a couple are maybe a little slower than we had initially planned but are accretive. I think we are the – where you are seeing us spend money though is in building infrastructure, planning for future growth which that’s probably offsetting some of that accretion.
Christopher Pappas: Right.
Mark Wiltamuth – Jefferies & Co.: Okay. And when do you eliminate the duplicate rent from the Bronx facility?
John Austin: Well we are expecting to move in, in a phased approach in 2014. It will probably start sometime in the second quarter, we probably won’t be fully in that facility until the beginning or early 2015. Right now what we are doing is we – it took a long time to get the existing tenant out, so we were trying to build around the other tenant in that building, finalize all the permitting which we’ve finally done now. And so we are full bore ahead at this point. But it will be phased approach, we’ll start to utilize the facility mid-year and then fully utilize it by ‘15.
Christopher Pappas: Probably first quarter, so if you wanted a best estimate probably first quarter of ‘15.
Mark Wiltamuth – Jefferies & Co.: Okay. And lastly in your pre-announcement you talked about margin pressure, I guess in meats, any change in the color there and what’s your outlook there for the remainder of the year?
John Austin: I think it’s so far January and February have been in accordance with plan. It is still softer than it was earlier in 2013, so but it is performing according to plan now.
Mark Wiltamuth – Jefferies & Co.: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Karen Short with Deutsche Bank. Please proceed with your questions. Shane Higgins – Deutsche Bank Yeah, hi, good evening it’s Shane Higgins on for Karen. Hey guys just looking at your top line guidance for the year, it looks like the $137 million to $167 million, how much of that is attributable to acquisitions I am thinking it’s somewhere around $80 million but just want to get your thoughts on that?
John Austin: Yeah I think we did quantify it for you. I haven’t put the math to it, so maybe we can circle back offline. But we kind of quantified for you the sales from acquisitions in each of the quarter so far this year and then it’s really just lapping that. So when I think about those three acquisitions that we did in 2013; Queensgate, which was about $40 million in revenue, Qzina which was about $60 million to $65 million in revenue and then Allen Brothers which is between $80 million and $85 million. So the pro forma piece of that is adding to sales in full year of 2014. We will circle back and go through that math but that’s really how you get there.
Shane Higgins – Deutsche Bank: All right. Great. That’s helpful. And in terms of organic growth the breakdown between the organic and inflation on the balance of that, how should we think about that?
John Austin: The organic – I am sorry – on again…
Shane Higgins – Deutsche Bank: Just I mean the non-acquisition related top-line growth, is that kind of broken down between organic and inflation and how much inflation have you guys embedded in your top line growth?
John Austin: Inflation I’d for 2014 is I would plan on kind of 3% to 2.5% to 3%.
Shane Higgins – Deutsche Bank: Okay. Great. And then can you guys just kind of walk us through how do you get from the low end to the high end of your guidance. What kind of are the key variables?
Christopher Pappas: Weather being one. Successful sales implementation, trade, again we acquired three companies last year, obviously we expect to be acquisitive this year. I think the range is one weather with – I wouldn’t take it lightly weather has been something that does throw off the numbers unfortunately. The synergistic uptick in what we’ve been doing, so we’ve acquired these companies and now we’re starting cross sell. We call it cross pollination, so I think three is the health of our customers. So if they are a little slower or little busier that really changes the numbers. I think giving a range kind of is an honest outlook that obviously we don’t have a crystal ball and we feel comfortable in that range depending on all of those variables.
Shane Higgins – Deutsche Bank: Great. And then if I could just get one more in here. Now integration has obviously been a strength with you guys for a while. Can you just kind of help us better understand this new integration team you are bringing in and kind of what they bring in the organization and what they can do better?
Christopher Pappas: Well again what we’ve been doing is we’ve been hiring. So as we’ve been hiring we’ve been looking to replace some of our experienced people that we have challenged them with a new opportunity in the company. And with the outlook for more acquisitions and seeing what we’ve done in the past, it’s a learning experience as we go on. And we think it’s a very good idea to start paying more attention to how we do the acquisition and how we integrate to do a better job on-boarding people and we think that our investment and that team paying more attention to the acquisition will be a better way to get a faster uptick once you do the acquisition and once you start to cross pollinate.
John Austin: Yeah, I think that’s the big part of is that the cross pollination and where we are starting to see as we do ultimately become more dense and look for cross selling synergies as we end up with different product categories there is a real learning curve and education process around that.
Christopher Pappas: And we think it’s a less stress for us, the team that has to operate day-to-day, so obviously we want to grow and we are growing organically. And we want to put more emphasis on the day-to-day teams to execute the organic plan, while now we have a team that’s focusing on our new acquisitions so we are very excited about this.
Shane Higgins – Deutsche Bank: Great thanks a lot guys.
Operator: Thank you. Our next question comes from the line of Scott Van Winkle with Canaccord Genuity. Please proceed with your questions.
Scott Van Winkle – Canaccord Genuity: I am doing the back of the envelope right here and I don’t – I am not a 100% sure I am not in my model. But it looks like you are assuming an operating margin of about 5% in the guidance for 2014 do I have that math right? And second, what drives the down from call it, 5.8-5.9 or so in fiscal 2013?
John Austin: Yeah I think one of the things, again I haven’t gone through I don’t have each of your individual models. But I would generally tend to say that one of the places there is a couple of places where I think the current consensus and current models just may be a little light is amortization expense. So what we’ve been investing in technology systems which impacts depreciation but prior more importantly the amortization expense related to our acquisitions, I think there is probably a little think that the models are probably a little light on that front. Another area I thought they are probably a little light in the current models was interest expense, I think that probably another issue, I know that’s below the operating profit line. But I think the impact that you are thinking about between the investment in infrastructure we talked about a lot and amortization expense.
Scott Van Winkle – Canaccord Genuity: Yeah so you are just saying we are going to look to annualize that fourth quarter interest expense to that $2.3 million that sounds like doesn’t it?
John Austin: I think that’s in the right order of magnitude may be a little higher than that, yeah.
Scott Van Winkle – Canaccord Genuity: Okay and of so the way the amortization is going to fall in the operating decline how much is that’s going to flow through COGS, obviously depreciation and [inaudible] the amortization associated with acquisition that seems going to be in operating expenses?
John Austin: All in operating expenses correct.
Scott Van Winkle – Canaccord Genuity: Great and then when we think about going from the fourth quarter in Q1 obviously a little less revenue impacts and weather – the volume. But we haven’t seen a couple of these acquisitions in Q1, is there any gross margin variants that we should think about. Obviously I would assume the Allen Brothers margin is much higher in Q4 then it is in Q1 given it’s a direct.
John Austin: That’s correct and that’s part of why I was emphasizing thinking about the quarter cadence of Allen Brothers. The margin in the direct to consumer business is stronger than the wholesale component of the business. So the first three quarters had a much greater mix of wholesale versus direct to consumer so the margins will be a little bit lower. But there is also a lot of spend advertising spend catalogs and that kind of thing in that business where a lot of the sales are generated some of that to come in the fourth quarter.
Scott Van Winkle – Canaccord Genuity: And then lastly on Chicago, obviously you don’t know the timing and not want to put it in the guidance. Is this 90% that you are going to have a facility in process construction in fiscal 2014? It’s just the matter of whether it’s June or November?
Christopher Pappas: I would say Scott that we are very optimistic that we will have a very strong presence in Chicago and the sooner the better, and it’s something we’ve been working on for a while and obviously Allen Brothers gives us to part of the paved road and we are trying to put together the other pieces and I would say we are optimistic that we will have a nice strong presence.
John Austin: And Scott we are looking at a lot of different options there from leasing facility and kind of greenfielding from scratch to acquisitions or things like that, so there is a lot of moving parts there that we are currently evaluating.
Scott Van Winkle – Canaccord Genuity: Got you and then I am sorry, I have one more. On the Bronx facility you know obviously we’ve been pulling out duplicative rent, calling it out every quarter since the process [came in]. When you go into starting to occupy in Q2 and taking until the end of fiscal ‘14 to fully occupy, have you kind of built in the inefficiency, the relocation cost or are we going to expect kind of here Q3 all there is $700,000 that we had in relocation cost. Just kind of wondering what’s in and what’s not or what should we assume as far as the cost beyond duplicate rents that we’ll see with the Bronx.
John Austin: Yeah I think in the guidance we’ve given as far as the add back for the duplicate rent it’s got a little bit of transition cost in there as well. Obviously a phased approach, hopefully we’ll have less disruption and less kind of onetime cost on that front but…
Christopher Pappas: Part of the thought process Scott when we decided to take this building and move into it was that it’s only a few blocks away, so it’s not your typical move where you would have a tremendous cost of hiring trucking company. So we think that doing it over a period of time the cost is kind of built in and we are not expecting this unexpected huge amount of expense to move in, I think we’ve got ourselves covered.
Scott Van Winkle – Canaccord Genuity: Okay. And if I one more and it’s on the inventory days the last few quarters and I probably know that it’s probably one of the acquisition. But the inventory dates have been up on a year-over-year basis, is that because of the mix of business with the new acquisitions?
John Austin: Yes so Qzina if you remember when we announced Qzina, their inventory turns – they had a lot of inventory in that business and their inventory turns were very slow. So that started the impact in second quarter but certainly third and fourth quarter did most of the meat business as well turns their inventory a little slower. And obviously you’ve got the timing of the acquisitions and not having all the sales and you got full inventory so that obviously impacts things as well.
Scott Van Winkle – Canaccord Genuity: Right, thanks, thank you very much.
Operator: Thank you. Our next question comes from the line of John Ivankoe with JPMorgan. Please proceed with your question.
John Ivankoe – JPMorgan: Great, hi thank you. A follow up on Chicago, you mentioned in your prepared remarks you are potentially prepared for $1 million to $3 million range and the question I was going to ask was for you to go through kind of the build versus buy decision and it seems like in the previous question that you did allude to buying and making several acquisitions kind of being at least being a part of that potential. So can you kind of just walk us through and refresh us how you go to that exercise of build versus buy I mean what really encourages you to do one versus another especially in such a large opportunity like Chicago?
Christopher Pappas: Right it is a perfect if and you have a willing seller we do prefer to buy it’s obviously much faster to take it, go into the market with somebody who already has 20-30 routes. But one of the most important filters we look at is culture and what we are inheriting. So Chicago is a market we’ve been looking at for a few years and trying to find the perfect acquisition and we have been in dialogue with various people over the past few years. Obviously we’ve got Allen Brothers in December which is a piece of the puzzle because their business is more on a national scale, a lot of expertise but it does give us quick. So part of the thinking behind it is if you have enough introductions and enough relationships you could Greenfield it off with what we have. Little more closely upfront but I actually a better ROI all the time, but traditionally what happens is when we enter a market you do start to get phone calls. St Francisco it happened to us I think three or four time where we think we have it –we have enough to go on our own and then another company calls up and we are able to make a deal. So I think to summarize the process is we look at it we look for an acquisition if not we prepare a greenfield and usually what happens is we end up doing one or two deals in the meantime.
John Ivankoe – JPMorgan: Yeah and may be there’s costs there of advertising to perspective sellers just that you guys are obviously interested to going into that market?
Christopher Pappas: You are not going to want a commission on this, are you?
John Ivankoe – JPMorgan: I don’t think I deserve one. But secondly coming at you slightly different direction regarding Allen Brothers. I have obviously seen what the consumer sees, what the retail consumer sees on business to consumer. How big of an opportunity is this for Chefs’ Warehouse to really broaden out your online ordering platform for interested home chefs?
Christopher Pappas: We think it’s quite big. Part of the reasoning behind making this acquisition was we’ve always had a great interest because of the phone calls we get of people wanting to shop like a chef. So we thought it was the perfect opportunity a company that had a – it was the Rolls Royce of prime beef in the country with a great reputation. And part of the investment in ‘14 and ‘15 is building out that platform. That’s kind of what we’ve been talking about where our numbers obviously we can make more money. But having an opportunity to grow B2C and leverage the Allen Brothers relationship is part of our big plan over the next few years. So we think it’s quite a big opportunity.
John Ivankoe – JPMorgan: And is that – I am sorry, go ahead.
John Austin: I would just say, John, just to remind you about 25% of Allen Brothers business goes through so roughly $20 million to $25 million is in the B2C channel, so that would give you a relative size of the existing platform.
John Ivankoe – JPMorgan: And is that a scalable business to where Chef’s products especially when you have the Chicago facility where you could go to their existing retail distribution network or that’s something that what has to be expanded as part of their existing facility?
Christopher Pappas: I would say right now we are in the first stage. We have great consultants, we have great people at Allen Brothers, we have expertise in that. So we are evaluating multiple ways of actually growing that business. They all work it’s really getting the perfect formula right now that we are anticipating finding.
John Ivankoe – JPMorgan: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Andrew Wolf with BB&T Capital Markets. Please proceed with your questions.
Andrew Wolf – BB&T Capital Markets: Hi, good afternoon.
Christopher Pappas: Hey Andy.
John Austin: Hi Andrew.
Andrew Wolf – BB&T Capital Markets: I wanted you ask on this you mentioned you are instituting like a new department – I think it was transition but escalating the new acquisitions and so forth?
Christopher Pappas: To better integrate.
Andrew Wolf – BB&T Capital Markets: Okay. Is that – could you sort of elaborate a little on the mandate there. I mean I get the sense of it, are you hiring new people or sort of just re-staffing it? And also is that pretty much I mean I would think that are you doing this sort of because you are not happy with the way things have gone or because you anticipate ramping up and you just need to focus more on this side of the company?
Christopher Pappas: Well that’s a bigger company than we were two years ago when we went public. And anticipation of continuing to do deals which is part of our strategic plan, the business has gotten big enough now where it requires – we have people doing two things at once Andy and we feel it’s prudent right now to start separating and emphasizing the day-to-day obviously which is our bread and better. And to do a better job – I think we could do a better job of getting the acquisitions done in a cleaner fashion and then a better job on-boarding them. There is so much to learn, you have new computer systems to get used to, you got the product lines to introduce to them, you have new management teams. So I think we have reached the size and anticipating getting it larger that it makes a lot of sense. So we’ve taken people and we’ve given them new challenges. Lot of people in the organization here many years have wanted a new challenge and we’ve been back filling them over a period of time and as we said we’ve invested in Regional Vice Presidents and specialists, so it has been part of the plan and now it’s – we felt it was time to announce that we have made that investment and it’s kind of built into the forecast, right.
Andrew Wolf – BB&T Capital Markets: Okay. I wanted to switch to Sysco, and ask two questions. One is on their – they are not a stranger with your food service and if you have any updates or thoughts on customer reaction and if you are getting to what degree you might be hearing from customers who are looking at this pending merger and thinking of making the change?
Christopher Pappas: Well we kind of felt some few years back that the industry obviously was consolidating, that’s what we are doing, consolidating more on the specialty side. So we thought the big guys would consolidate and it looks like it’s happening. And again part of the reason that we have started making these investments a while ago was anticipating that one of these deals would happen and there would be some low lying fruit. So we are pretty excited, we think they are two great companies merging and they will do a great job and get efficiencies. But traditionally when this happens and our customers have voiced and new customers have voiced they are not going to put all their eggs in one basket. So we think there will be some good business for us and that’s why we’ve been hiring and getting ready for anticipating some good things happening for us as well.
Andrew Wolf – BB&T Capital Markets: Okay. And lastly Sysco recently started rebranding its business in New York City with a goal of trying to get some higher-end business. And I just wanted to ask from your vantage point have you noticed anything that affects Chefs’ Warehouse whether it might be poaching of sales people or pricing or business situations or anything in that regard?
Christopher Pappas: Listen Sysco is a great company. And they move fast food extremely efficiently and the leader in the world I believe. They are going to be a $60 billion company selling to everybody, that’s not our mission and if they could take business from us, if they could do a better job they deserve it. I could you tell you we get up every day extremely focused on the customers that we sell and our people are extremely passionate, very focused, we are not trying to sell everybody anything. So I think we’ve got a pretty good shot of having continued success.
Andrew Wolf – BB&T Capital Markets: Does that mean you haven’t seen any effects from them so far in the month or two of being…?
Christopher Pappas: Andy we get paid to grow our business and make sure our customers choose us. So I can’t be concerned with what they are trying to do. I know that we are very optimistic that we will continue to do what we’ve been doing and have continued success.
Andrew Wolf – BB&T Capital Markets: Okay. Thanks and good luck this year with the business.
Christopher Pappas: Thank you, Andy.
Operator: Thank you. I’d now like to turn the call back over to management for closing comments.
Christopher Pappas: Well, we thank everybody for joining us. We are joyous that it’s actually not snowing today here in the Northeast and we look forward to speaking to everybody in our next call. Thank you very much.
Operator: Thank you. This concludes today’s teleconference. You may disconnect your lines at this time. And thank you for your participation.